Operator: Good morning, and welcome to the Air Products Third Quarter Earnings Release Conference Call. Today's call is being recorded and at the request of Air Products. Please note that this presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Beginning today's call is Mr. Simon Moore.
Simon Moore: Thank you, Cecilia. Good morning, everyone. Welcome to Air Products' Third Quarter 2022 Earnings Results Teleconference. This is Simon Moore, Vice President of Investor Relations Corporate Relations and Sustainability. I'm pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Dr. Samir Serhan, our Chief Operating Officer; Melissa Schaeffer, our Senior Vice President and Chief Financial Officer; and Sean Major, our Executive Vice President, General Counsel and Secretary. After our comments, we will be pleased to take your questions. Our earnings release and the slides for this call are available on our website at airproducts.com. This discussion contains forward-looking statements. Please refer to the forward-looking statement disclosure that can be found in our earnings release and on Slide number 2. In addition, throughout today's discussion, we will refer to various financial measures. Unless we specifically state otherwise, when we refer to earnings per share EBITDA, EBITDA margin, the effective tax rate and ROCE both on a total company and segment basis, we are referring to our adjusted non-GAAP financial measures, adjusted earnings per share, adjusted EBITDA, adjusted EBITDA margin, adjusted effective tax rate and adjusted return on capital employed. Reconciliations of these measures to our most directly comparable GAAP financial measures can be found on our website in the relevant earnings release section. Now, I'm pleased to turn the call over to Seifi.
Seifi Ghasemi: Thank you, Simon and good day to everyone. Thank you for taking time from your very, very busy schedule to be on our call today. Our fiscal year 2022 third quarter results are the latest demonstration of the strength and resilience of our business portfolio. Despite all the well-known and visible headwinds on the global stage, such as rampant inflation, supply chain constraints, currency headwinds, COVID-related shutdowns in China, the war in Ukraine and the significant rise in energy prices in Europe. The people of Air Products delivered excellent results with earnings per share, up 13% versus last year. In addition, as you can see, we delivered very strong cash flow that will support our energy transition growth projects. I do want to thank all of the people at Air Products for the total commitment to excellence and service to our customers. Now please turn to Slide number 3, our safety performance. Our highest priority at Air Products is the safety and well-being of our employees. We have made significant progress to improve our safety performance in the last few years. But we are working even harder to achieve our ultimate goal of 0 incidents and accidents. Now, please turn to slide number 4. This is our historical performance over the last eight years, and the best indication of our commitment and the resilience of our business portfolio. We have increased our earnings per share by an average of 11% per year over the last eight years despite all of the ups and downs in the world economy, geopolitical tensions, and COVID. This performance is better than what we promised investors eight years ago. Now please to slide number 5, which clearly indicates that we have shared the success with our investors by increasing our dividend per share by an average of 10% per year also. Now, please go to slide number 6. My favorite slide that shows our EBITDA margins. You'll note, the significant improvement over the years and please also note that about three-quarters of the recent decline is due to higher pass-through energy costs that increase our sales, but not our properties. I have as usual included slides number 7, 8, 9 and 10 to emphasize our continued commitment to the basic management principles that have guided our performance up to now and will continue to be the key principles that we will follow in the future. Slide number, 11, 12 and 13 represent our new sustainability commitments that we shared on Monday July 25, at the conference call. The transcript of that call explains all of these slides in detail. So I do not plan to go through that again today. But I do want to reiterate that, sustainability is our growth strategy at Air Products, and we are committed to improving our performance and enabling our customers to do the same. We are proud to have set additional ESG goals and increased our total capital expenditure for projects driving the energy transition to $15 billion or more. Now, it's my pleasure to turn the call over to Melissa Schaeffer, our Chief Financial Officer to go through the details of the fiscal year third quarter results. Melissa?
Melissa Schaeffer: Thank you, Seifi. As mentioned earlier, the resilience of our business is once again demonstrated on results this quarter. Our on-site business, which generates approximately half of our total company sales is stable and has contractual protection to pass through higher energy costs. Our merchant business also performed very well. Price stayed ahead of variable cost increases for the second consecutive quarter, and how has now more than offset the higher variable costs, for the year-to-date. I'm also pleased to announce that, we received a cash distribution of approximately $100 million from the Jazan joint venture in June, another example of this project meeting our commitments. I also would like to echo Seifi's comments, and thank all of our people at Air Products for their outstanding effort to overcome the significant energy cost challenges, and achieve key project milestones. Now please turn to Slide 14 for our third quarter results. Underlying sales were strong. Price and volume combined were up 12%. So energy costs have fallen slightly in recent weeks, they remain significantly higher than in prior quarters and our team stepped up our pricing efforts across the region in response to the escalating energy costs. Our third quarter merchant price was 17% higher than last year, which resulted in a 7% gain for the total company. Merchant price has improved double digits for three consecutive quarters and increased sequentially each quarter. Volumes were up 5% overall and better in most segments. New assets recovery and hydrogen in the Americas better merchant demand and increased sales of equipment activities more than offset the negative COVID impacts in Asia and lower hydrogen volumes in Europe. Currency translation from a strengthening US dollar was a significant headwind this quarter, reducing sales and EBITDA by 5%. Despite this headwind, EBITDA increased 11% as favorable volume, prices and equity affiliate income more than offset higher costs. EBITDA margin of 33.9% decreased 360 basis points compared to the prior year, as positive contributions from price, equity affiliate income was more than offset by higher energy pass-through, which lowered EBITDA margin by 500 basis points. Sequentially, volumes were up 4%, supported by Lunar New Year recovery in Asia and higher hydrogen volumes in the Americas by partially offset by lower merchant demand due to the COVID restrictions in China. EBIT was up 6% sequentially, absorbing 2% of currency headwinds, as favorable price and volume more than offset higher costs. ROCE has climbed steadily the last four quarters to reach 10.8%. We anticipate ROCE to further improve as we bring new projects on stream and continue to put the abundant cash on our balance sheet to work. Adjusting for this cash, our ROCE would have been 13.5% this quarter. Now please turn to Slide 15. Our third quarter adjusted EPS of $2.62 increased $0.31, or 13% from the prior year, representing our fifth consecutive quarter of double-digit year-over-year earnings growth. Price, volume and costs together contributed $0.27. Volume was favorable $0.11 and price net of variable cost was favorable $0.32. Asia, Europe and Americas all showed positive price results. Our costs were higher primarily due to inflation supply chain-related issues, and higher planned maintenance. We also remain steadfast in our support for the long-term growth of our company, hiring the necessary people to bring projects on stream and investing in facilities including our new helium storage cavern, which will generate significant value in the future. We keep a close eye on all of our costs and continue to focus on productivity actions across all of our businesses. Weaker foreign currency versus US dollar lowered our EPS $0.08. The euro, British pound, Korean won and RMB were the biggest contributors. This was about $0.05 worse than we expected for the quarter. The Jazan joint venture continues to deliver as expected and drove the improved equity affiliate income versus prior year. Noncontrolling interest was unfavorable as higher earnings from consolidated joint ventures is attributed to our partners. Nonoperating income was $0.04 lower, driven by higher pension expense. Our third quarter effective tax rate of 18.6% was slightly higher than last year as the favorable impact of Jazan in the current year was offset by prior year impact of favorable onetime items. We expect our tax rate to be approximately 19% next quarter. Now please turn to Slide 16. The stability of our business allows us to generate strong cash flow, despite the challenging geopolitical energy environment. Over the last 12 months, we generated more than $2.9 billion of distributable cash flow over $13 per share. From our EBITDA of over $4 billion, we paid interest, taxes and maintenance capital.  From the distributable cash flow, we paid over 45% or roughly $1.4 billion as dividends to our shareholders and still have over $1.5 billion available for high-return projects. This strong cash flow, even in uncertain times enabling us to continue to create shareholder value through increasing dividends and capital deployment for our high-return projects. Slide 17 provides an update to our capital deployment. As you can see our capital deployment potential is $35 billion through fiscal 2027. The $35 billion includes about $8 billion of cash and additional debt capacity available today almost $17 billion we expect to be available by 2027 and more than $10 billion already spent. We still believe this capacity is conservative, given the potential for additional EBITDA growth which would generate additional cash flow and additional borrowing capacity. As always, we continue to focus on managing our debt balance to maintain our current and targeted AA2 rating. So, you can see, we have already spent 30% and have already committed 73% of the updated capacity, we show here. We've made great progress and still have substantial investment capacity remaining to invest in high-return projects. As Seifi mentioned we have committed an additional $4 billion to the future energy transition projects or about half of the remaining $9.5 billion to be committed. We are developing a significant number of exciting projects. As a result, I think we have a good chance to exceed this target. We continually evaluate our capital deployment options and determine the best way to use the available cash entrusted to us by our shareholders. We believe that investing in these high-return projects is the best way to create shareholder value for the long run. Now to begin the review of our segment results I'll turn the call back over to Seifi. 
Seifi Ghasemi: Thank you, Melissa. Now please turn to Slide number 18 for our Asia results. As I mentioned earlier, currency was a major failure  for Asia this quarter. Sales were flat as positive volume and price that offset by weaker currency. Volume was up 2%, as we continue to successfully bring on a stream -- being on a stream a small to medium-sized traditional industrial gas plants in our on-site business across the region, which more than offset the reduced merchant volumes caused by COVID restrictions in certain parts of China in the last quarter. Our merchant price was up 5% compared to last year, which resulted in the 2% overall price improvement for the region. Costs were unfavorable primarily due to higher planned maintenance, inflation and supply chain inefficiencies caused by COVID restrictions. EBITDA was 5% lower mostly due to currency and EBITDA margin decreased 230 basis points as better price and volume only partially offset the higher costs. Now I would like to turn the call over to Simon to talk about our Europe results. Simon? 
Simon Moore: Thank you, Seifi. Now please turn to slide 19. Energy costs in Europe remained very high, but had no profit impact on our on-site business since we are contractually able to pass the cost on to our customers. Since almost all of our natural gas usage is for on-site hydrogen production we have very little cost exposure to natural gas and no cost exposure to the power used for our on-site ASUs. In our merchant business our team continues to implement price increases to compensate for higher power costs highlighting the strength of our business model. You can see the power cost for Europe this quarter were still three times the level at the beginning of 2021. Although, we have now fully recovered the higher power costs for the year-to-date we remain mindful of the dynamic nature of the situation and we are continuing to work hard on pricing. Now please turn to slide 20 for a review of our Europe results. Negative currency had a significant impact on Europe. All major local currencies were weaker versus the dollar by double-digits. Compared to prior year underlying sales were stable supported by a sizable step-up in merchant pricing. Price increased 17% over last year for the region which translates to a 25% gain for the merchant business. Prices were higher across all major product lines and subregions and this is the fourth consecutive quarter of sequential price increases. Volume was 3% weaker. Merchant volume was up, but hydrogen volume was negatively impacted by a planned customer turnaround and another customer reducing volume from us due to high natural gas costs. EBITDA improved 4% due to strong price net of variable costs and better equity affiliate income, which were partially offset by unfavorable currency and weaker volume. EBITDA margin decreased 500 basis points compared to prior year as better pricing net of variable costs only partially offset higher energy cost pass-through which lowered margin more than 700 basis points. Compared to the prior quarter, merchant volume improved and price continued to gain strength across all key product lines and subregions. EBITDA was up 9% as better price net of variable costs more than offset weaker currency. EBITDA margin improved 230 basis points primarily due to the strong price. Compared to Q1 of this year, Europe's operating income has improved $40 million or 40% and EBITDA margin has increased by over 600 basis points, owing much to our team's successful pricing effort. Now I would like to turn the call over to Dr. Serhan for a discussion of our other segments.
Samir Serhan: Thank you Simon. Now please turn to slide 21 for a review of our Americas results. Energy cost pass-through was a significant factor this quarter, accounting for two-thirds of the 33% sales increase over last year, but contributing no profit. However, it does negatively impact our margins. Underlying sales were strong. Volume and price together were up 12% similar to the last two quarters. Volume grew 4% primarily due to recovery in hydrogen despite the planned outages in this quarter, as well as a new on-site coming online. We expect hydrogen to continue its path to recovery as we move into 2023. Our third quarter volume growth was partially offset by continued weakness in our South America merchant business due to lower demand for medical oxygen as well as the favorable impact from our onetime items in the previous year. As mentioned, the positive price momentum continued. Our team in the Americas did an excellent job again by raising the prices to more than cover the higher energy costs. Prices improved in all key product lines over last year and were also up sequentially. The 8% gain for the region compared to last year is equivalent to an 18% increase in our merchant business. As we indicated previously a planned maintenance was still elevated in the third quarter, but it's expected to decrease in this fourth quarter. Costs were also unfavorable primarily due to inflation and supply chain related challenges including driver shortages that continued to impact the industry. EBITDA grew 3% driven by higher price and volume, partially offset by higher costs. EBITA margin declined 980 basis points from the previous year due to higher energy cost pass-through, which accounted for around 800 basis points with most of the rest driven by onetime gains in the previous year. Sequentially our hydrogen volume and continued price gains helped to drive EBITDA higher, despite higher supply chain-related costs. EBITDA margin was lower primarily due to higher energy cost pass-through. Now please turn to slide 22 for a review of our Middle East and India segment. Sales and operating income in this segment are modest since our Middle East and India wholly-owned operations are smaller in size. However, the segment's EBITDA is significant since it includes the equity affiliate income related to the design joint venture and our India joint venture INOX AP. For the quarter, sales were higher versus the previous year, and previous quarter due to acquisitions. The $50 million increase in equity affiliate income included our share of the design joint venture net profit. As Melissa indicated earlier, we received a distribution of about $100 million from the joint venture during the third quarter. And I'm also happy to report that the planned commissioning activities continue to make good progress. Please turn to Slide 23 for our Corporate segment. This segment includes our sale of equipment businesses as well as our centrally managed functions and corporate costs. Over the past few years, our non-LNG, sale of equipment businesses have grown considerably and have become major contributors for this segment. For this quarter sales and profit increased driven by strong activities in non-LNG projects and also supported by favorable profit recognition upon the recent completion of an LNG sale of equipment project. As expected, inquiries for potential LNG projects have increased significantly, but these projects take time to develop we're working hard to sign in new projects in order to maintain our momentum. At this point, I would like to return the call back over to Seifi to provide his closing comments.
Seifi Ghasemi: Thank you, Dr. Serhan. As I have mentioned previously, our strategy for the company is fundamentally based on doing two things at the same time two pillars. Number one is to operate our base industrial gas business in the most efficient way and continue to invest and grow that business, something that we have been doing and we will continue to do. The second pillar of our strategy is to focus on zero and low carbon hydrogen projects that produce the hydrogen energy of the future. Air Products today is the leader in the production of gray hydrogen worldwide. Our strategy is to have a natural extension of that leadership position and to be the leader in the production of green hydrogen based on renewable resources and blue hydrogen, which is the production of hydrogen from hydrocarbons combined with CO2 capture. That is our growth strategy for the future. We are very much committed to this strategy. These two pillars are part of the same thing. They fit together. They align with our core competencies as a company and they give us the potential to grow significantly. As the world's largest hydrogen supplier with over 60 years of experience with hydrogen, we are uniquely positioned to be successful in implementing this strategy. We have the know-how to carry out our mega projects and implement them successfully as demonstrated by the successful completion of several major projects recently, including a more than $2 billion air separation projects the largest in the world, which was completed on time and their budgets recently. We can also leverage our existing assets as many of our energy transition projects are connected to our own pipelines, which can readily supply the low-carbon hydrogen to our existing customers. Now, please turn to slide number 24. Like everyone else, we see significant economic challenges as we go forward. COVID restrictions in China remain uncertain, and we expect inflation, currency and supply chain constraints to continue to be headwinds. Although, we have only a very small business in Germany, the field of energy supply distributions is weighing on all of Europe. Despite all of these headwinds, I remain confident in the strength and stability of Air Products business. We will push for price increases to compensate for additional costs, pursue additional volume opportunity, and pay very close attention to our costs. As a result for the fiscal year 2022, we have kept our guidance unchanged despite not only all of these headwinds, but also the more than $0.10 of negative currency impact that we see which is different â which is higher than when we gave you the guidance last quarter. Our range of $10.20 to $10.40 represents, a 14% increase at midpoint over last year. We expect to see our CapEx in 2022, to be slightly above $4.5 billion, including the approximately $1.5 billion previously invested for Phase 1 of the Jazan project. Now please turn to slide number 25. To make this energy transition in reality, we need people, who share the same vision for this important undertaking. Recently, I've been hosting strategy discussions, with our employees around the world. These are extensive thoughtful dialogues, with small groups of people at the time that allow me to share our strategy with our people and as always to answer their questions and get input from them. I have already met with approximately 2,000 of our employees in the last two months and our plan to talk to all of our 20,000 employees in small groups in the next year or so. I'm happy to say that, our employees are excited, motivated, and confident, to take on the bold challenges ahead of us. Their commitment and motivation is our long-term competitive advantage, which is going to make us successful in implementing our strategy. I am have been, and continue to be very excited about the future of Air Products. Now, before we answer your questions, I do have an announcement to make. As all of you on this call know, -- all of you on this call, know my friend and colleague Mr. Simon Moore very well. He has been responsible for Investor Relations for the last 12 years. He has been a significant contributor to the success of Air Products over the last 33 years. Recently, Simon informed me that he plans to spend more time with his family and therefore visions to retire from Air Products at the end of March 2023. We have decided to announce this decision early, so that we can go about finding a successor in an open and public manner and also to give his successor plenty of time for the transition. I do want to publicly acknowledge and thank Simon for the outstanding and valuable contribution he has made to Air Products and also acknowledge the key role he has played in developing our sustainability program. All of us at Air Products wish Simon the best in his retirement and look forward to working with him over the next eight months to identify and transition to a strong successor. Simon, thank you again for all we have done for Air Products and I invite you to make any comments you would like to make at this time.
Simon Moore: Thank you, Seifi. I have been honored to enjoy the challenges, the opportunities, the people and the teamwork at Air Products over the last 30-plus years. As they say, no one joins the company planning to stay for 30 years, but I have been lucky to be challenged with a wide variety of opportunities that always made Air Products a great place to be. Seifi, as we discussed when I first shared my decision with you I remain fully supportive of Air Products' growth strategy, continuing to focus on our very strong base business, while we further advanced our unique first-mover advantages driving the sustainability-focused energy transition for the world will no doubt create significant value for our investors, employees, customers and other stakeholders. And Seifi, I want to specifically thank you for leading the team to transform Air Products into this great company with an incredible future. I'm looking forward to continuing to drive our critical work support the search for an outstanding successor and ensure a smooth transition. Thanks again, Seifi.
Seifi Ghasemi: Thank you very much Simon for your kind remarks. I do appreciate that. Now we are pleased to answer your questions.
Operator: Thank you.  We will now take our first question from Christopher Parkinson from Mizuho. Please go ahead.
Christopher Parkinson: Great. Thank you so much for taking my question. Your team has done a very good job over the last several quarters, obviously from a pretty tough place last October to getting ahead on price cost in both Europe and also the US per your PowerPoint slides. Can you just discuss those efforts in the context of the current macroeconomic environment. Obviously, there's some potential tracks in Europe and some other places. So just how are those discussions going on now? How should we think about your ability to hold price into the next fiscal year? Just any additional color on the -- your updated thought process? Thank you so much.
Seifi Ghasemi: Thank you, Chris and good morning to you.
Christopher Parkinson: Good morning.
Seifi Ghasemi: And Chris thanks for your comments. I appreciate that. We are very confident that we will be able to continue doing what we have been doing in the last three quarters in order to deal with all of the headwinds that we are dealing with. We have significant headwinds in currency, COVID, energy costs, and all of that. We believe that we have the capacity the resilience, the strength, and the market position to continue to increase prices to compensate for energy costs and other inflationary factors. So, we are not going to fall behind on that as we have demonstrated in the last three quarters and I expect those efforts to continue. The second thing is that our people are phenomenally focused on our costs making sure that we have by really count for every penny and Melissa, in her role as CFO, is playing a leading role in interacting with our businesses around the world to make sure they understand their cost and we keep our eyes on the ball in making sure that we are not spending on any money that you don't have to spend on. So, putting all of these together that is why we have had on honestly the courage considering everything that is going to be thrown at us in the next quarter not to change our forecast for the year and stick with the $10.20 to $10.40 which means at midpoint $10.30 and knowing full well that we are going to be hit with at least $0.10 of currency headwind. So, we are going to keep doing what we have been doing and I'm very confident that we should be successful Chris. 
Christopher Parkinson: That's very helpful. And just a quick follow-up. In your last slide presentation for the last quarter you had slide 11 just kind of the update of the fiscal year 2023 major project considerations. I mean Juda Jazan, Debang GCA so on and so forth. Can you just give us a quick update on any incremental thoughts you have on those kind of that second stage of getting Lu'An back to prior levels. Just any color you could offer would be greatly appreciated. Thank you.
Seifi Ghasemi: Sure. We fully expect Lu'An to go back to the original contract starting October 1. And all of those other projects that you mentioned do you expect them to come on a screen in 2023 and contribute to our increased EPS versus this year. So, we look forward to having a good year in 2023.
Christopher Parkinson: Thank you.
Operator: We will now take our next question from Vincent Andrews from Morgan Stanley. Please go ahead.
Vincent Andrews: Thank you and good morning everyone. Congratulations in advance Simon. Seifi can you talk about -- you mentioned you had $0.10 incremental FX headwinds versus I guess the middle of your fiscal year. Obviously, the raw material environment the macro environment hasn't gotten any easier either. So, what is it that's happening in the business? It's better than what you expected that's allowing you to maintain the guidance?
Seifi Ghasemi: I see two things. Number one, our ability to make sure that we increase prices to keep up with inflation; and the second thing is that, there are pockets of our business which are doing better than we expected, to be very specific, the hydrogen pipeline in the Gulf Coast, because of what you know very well about increased activity for refineries. So that is helping us.
Vincent Andrews: And...
Seifi Ghasemi: Yes, sure go ahead.
Vincent Andrews: No, no, go ahead, Seifi.
Seifi Ghasemi: No, I was done. Thank you, Vincent.
Vincent Andrews: Okay. Thank you. And then just a follow-up, I was just wondering, as we think about the potential for energy or electricity issues possibly in the fourth quarter maybe the first calendar quarter of this year depending on what happens -- what are your mitigation plans in terms of -- do you have the capability to shift volume to certain plants to serve the merchant market, if you have to reduce production, or are customers proactively maybe global customers proactively maybe shifting some volume to other geographies, or what are your contingency plans?
Seifi Ghasemi: We have a lot of flexibility to deal with that, if that is what the customers want to dom because they have many, many operations that can be -- we do that all the time in order to manage our electricity costs, because when electricity costs go up significantly during the night or during the day depending on where you are. We shut down some -- slow down some facilities and ramp it later. So we have a lot of flexibility to deal with that. You must be referring specifically to any possible electricity shortages in Europe, as a result of the cutoff of the natural gas to that region. But if that happens, then we just -- we'll adjust our operations to what the customersâ wishes.
Vincent Andrews: Thank you, very much.
Seifi Ghasemi: Thank you.
Operator: We will now take our next question from David Begleiter from Deutsche Bank. Please go ahead.
David Begleiter: Thank you. Good morning. On the Jazan dividend, will this be an ongoing quarterly dividend or semiannual, or how should we think about the dividend going forward?
Seifi Ghasemi: Well, obviously, the dividend is at the discretion of the Board of Directors of the company, but we expect to be getting a regular dividend. That's the expectation and we got the dividend this quarter and I expect -- I don't want to say this every single quarter. But in general, over the course of the year, we expect to get the dividend that is necessary or expected as per the -- our investment agreement. As the company -- the good news as Dr. Serhan mentioned is that the plant is operating, the commissioning is going well. And we have an outstanding customer in Saudi Aramco which happens to be generating a lot of cash themselves. So...
David Begleiter: Very good. And now that we're almost through this current year, any early thoughts on fiscal '23 earnings?
Seifi Ghasemi: David, I'm -- I would not want to venture into that. You have to give me until beginning of November to give you a guidance for that. So, I don't really want to comment too much on that, but I am optimistic, because we do have significant plans coming on the stream and therefore I'm expecting good 2023. But in terms of exactly where we will be, it depends on the world economy and all of that but we will obviously give you a forecast for that in â when we announced our results at the end of October or early November. 
David Begleiter: Very good. Thank you very much.
Seifi Ghasemi: Thanks, David.
Operator: Will now take our next question from John Roberts from Credit Suisse. Please go ahead.
John Roberts: Best wishes, Simon. And I'm going to ask just one question. Seifi the press release mentions the potential green hydrogen project in Oman, which you've talked about before. But it also mentions the Netherlands and the UK for green hydrogen. I don't think you've talked about that before. Could you give us a little bit more information there? 
Seifi Ghasemi: John, first of all good morning. You're asking a very good question. Give us a really bit of time to sort out the details of that before we make any public comments. Yes we are looking at possibility of a green hydrogen project in the Netherlands using the wind energy that they have. But we haven't finalized everything. We just wanted to let people know that they are working on those. But once we have finalized the details we will make an appropriate announcement. 
John Roberts: Yes, thank you.
Operator: We will now take our next question from Kevin McCarthy from Vertical Research Partners. Please go ahead.
Kevin McCarthy: Yes. Good morning. Seifi as you look a few years into the future do you think that demand for clean hydrogen projects around the world will begin to exceed the industrial gas industry's practical ability to fund them. In other words, I look at Slide 12, you have a yellow box there. Obviously, you linked a lot of projects already. You have perhaps Oman and the other ones that John just asked about, the $4 billion number toward the right of the slide is not especially large relative to your balance sheet or relative to the market opportunity for clean hydrogen. So what happens as the demand for these projects continues to rise and the capital is extended? Do you think that will exert upward tension on future returns, or how might the industry respond? 
Seifi Ghasemi: First of all good morning Kevin, you're asking a very excellent question. I think as the demand goes up, the ability to finance these projects become easier. And I think in time we will obviously tell you for example how we are going to do the project in NEOM and so on in detail. But I think as the Board and the â all of the infrastructure funds and everybody sees that the demand is real and it is going â then you'd be able to finance these projects project finance these projects. And therefore I think we will â we certainly at Air Products are confident that we will be able to keep up in terms of the capital with the demand. We don't think we will be capital constrained. And I think the rest of the industry, those who wish to play on this thing will participate. I think there is a lot of cash as you know better than I do a significant amount of cash available around the world, who is looking for investing in green projects. The issue is lack of projects or lack of credible projects. And that is why I think in time you will see that the sum of our projects been we want to finance them there will be a lot of demand for people to project finance them. So I don't expect at least speaking for Air Products, I cannot speak for the industry. But the organ for Air Products, I don't think we will have the problem of lack of cash.
Kevin McCarthy: Thank you for that and congratulations to you Simon. It's been a pleasure.
Simon Moore: Thanks, Kevin.
Operator: We will now take our next question from Jeff Zekauskas from JPMorgan. Please go ahead.
Jeff Zekauskas: Thanks very much. There's an inflation reduction bill before the Congress. And previously there was a Q45 tax credit which I think was really $50 a tonne for sequestering carbon dioxide. And they're proposing in the current draft that it's $85 a tonne, so maybe up $35 a tonne. So by my calculation maybe that would increase your tax credit by $175 million. That is -- would take it from about $250 million a year to $425 million that you would receive over -- annually over a 10-year period. Does that math make sense to you?
Seifi Ghasemi: Jeff, overall that may make sense and actually that math if you take the $25 and the $35 that applies to significantly more than the $5.5 million that you're talking about for the mega project because we also have a lot of CO2 in other places. Jeff, the bill that is in front of Congress is about 750 pages. I do not want to claim that I know that everything that is in all the 750 pages, but we have been involved significantly in the details of that bill. But the bill is not passed yet. So it will be premature to comment on it. Once the bill becomes law, I promise you that we will have a conference call and be as Air Products will delineate for you all of the aspects of that bill that would affect our business because it's not just only the CO2 there are things in there about hydrogen and other things. So I'd just like to wait. We know a lot about that bill, but I'd like to wait until the bill becomes law the President signs it hopefully in the next few weeks. And then, we will as I said, I promise you we will have a detailed conference call, where we will delineate the effect of that across our business.
Jeff Zekauskas: Thank you for that.
Seifi Ghasemi: Are you okay?
Jeff Zekauskas: Well, in terms of the -- yeah thanks for that and in terms of the amount of CO2 you can sequester, so if it's if that project is five million tonnes a year for 20 years that would be 100 million tonnes. And then, in the answer to my previous question you said you could put other carbon dioxide down that shaft. How big is the well? Is it 100 million tonnes, 200 million tonnes, can you roughly size how much carbon dioxide you'll be able to sequester or what your design idea is?
Seifi Ghasemi: Well, that is a little bit of a secret that we have, but order of magnitude let me tell you that the agreement that we have with the State of Louisiana allows us to put in and store significantly higher CO2 than the 100 million that you quote significantly high.
Jeff Zekauskas: Okay, great.
Seifi Ghasemi: I don't want to give the exact number, because we are under confidentiality but it is significantly higher than the 100.
Jeff Zekauskas: Okay, good. Thank you very much.
Samir Serhan: Thank you Jeff.
Operator: We will now take our next question from Mike Leithead from Barclays. Please go ahead.
Mike Leithead: Great. Thanks. Good morning guys.
Samir Serhan: Good morning.
Mike Leithead: First question, I was hoping you can provide us just additional thoughts around how you're seeing business trends in China and Europe as we go into the fiscal fourth quarter.
Seifi Ghasemi: Well, in China I think as we mentioned before, the impact of the COVID shutdowns we were able to deal with that and actually with all of the rest of our business growing, the effect was not that material. In terms of what is going to happen in the fourth quarter, it all depends on what would be the Chinese government's reaction to any additional outbreak of COVID and how many massive shutdowns they implement or they would not implement. So I cannot predict that, but we are prepared for that. We understand what that involves. And obviously we have taken some of that into consideration in terms of our guidance but that is totally unpredictable in terms of what will happen. Otherwise China's -- our business in China has been doing fine, especially the major customers that we have are running very well. Some of the coal gasification projects are running at full capacity because of the price of oil. So overall as I said except for the unknown in terms of dealing with COVID, otherwise it seems to be fine in terms of China. In terms of Europe, energy costs are obviously showing but much to our surprise, the economy has not suddenly tank. The economy is still our volumes have not significantly dropped, which is a little bit of a surprise. It can as we go forward, but we are optimistic that that will continue to be the case. Is that enough color? 
Mike Leithead: That's perfect. Thank you.
Seifi Ghasemi: Thank you.
Operator: Our next question comes from Steve Byrne from Bank of America. Please go ahead.
Steve Byrne: Yes, thank you. And Simon we're going to try to disrupt your retirement plans. We're not quite ready for that. But wanted to drill in a little bit about the climate bill that Jeff mentioned if that biz goes through, do you think that it would encourage you to implement more CO2 capture from all your existing SMRs in your Gulf Coast pipeline?
Seifi Ghasemi: That is exactly what did happen. Yes. If the bill getting enacted in the phone that it is being talked about right now -- until it becomes off.
Steve Byrne: Okay, understood. And then just one about Asia. Seifi you mentioned higher costs in Asia affecting the margin. But essentially no pass-through, energy pass-through and that 60% of your Asia business is on-site and pipeline. Is that just reflecting a reliance on coal-based energy? And so you don't -- you haven't seen much of an increase in that -- in your cost? 
Seifi Ghasemi: In China, electricity cost has not been a major factor. And in China about 69% of our business is on site. So up to now energy cost, electricity cost in China has not been a major factor for us. And obviously, that is regulated by the government. A little bit more control there.
Steve Byrne: Okay. Thank you.
Seifi Ghasemi: Sure.
Operator: Our next question is from Josh Spector from UBS. Please go ahead.
Josh Spector: Yes, hi. Thanks for taking my question. First, I guess, just a bit of a nitpick on the guide. You left the range wider than you normally do. Obviously, there's a lot of uncertainty out there. But just curious based on current business conditions, are you tracking towards the midpoint of that guide at this point, or are you assuming some worsening kind of response to your prior comment around Europe and China? Just curious what gets you to the midpoint versus the higher low end here?
Seifi Ghasemi: Well, we kept -- you are very right. We usually have a tighter range as theyâve been get to this stage more like $0.10, but we kept it at $0.20, because of the uncertainty that we are facing, because we cannot obviously predict the future. But obviously, our goal is to at least get to the midpoint. That is our goal. But we just didn't want to pretend as if we know more than we do. And we do have the uncertainty in terms of what is going to happen not only in China, but also in Europe energy costs, what will happen to the supply of natural gas is Russia going to squeeze natural gas supply to Europe so that they cannot store it for the winter. I don't know. Some of those things are very big end loans. And also the US economy, the US economy nobody talks about it, but they just increased interest rates what effect is that going to have on consumer spending or are we going to see a contraction. We did see the GDP slowdown. So all of those are unknowns and that is why we kept the range. But obviously, our goal is to at least get to the midpoint at this stage. But we just wanted to make sure, we are very don't pretend as if we know more than we do. 
Josh Spector: Okay. Thanks. And if I could just ask a longer-term one, I guess, just on your base project backlog. Curious if you could provide any visibility and if that's higher or lower versus normal, we have a lot of visibility in your mega projects, but the base little less so. You announced that it sounds like a larger project in India. So curious kind of what your outlook is over the next year or two? Is that above average, below average? Where is that on the scale? Thanks.
Seifi Ghasemi: On the large projects and so on, we are very optimistic. And I think it will be will be developing and announcing a lot of new projects, because we are in a good position. We have technologies that people need, and we are focused on the right sector in terms of green and blue hydrogen. So you -- on gasification. So I think you'll hear a lot from us in the years to come. 
Josh Spector: Okay. Thank you.
Seifi Ghasemi: Thank you.
Operator: We will now take our next question from John McNulty from BMO Capital Markets. 
John McNulty: Yes, good morning. Thanks for taking my question and congratulations Simon, well deserved. So Seifi, there's a lot of interest or growing interest on the LNG area and you have a really strong platform there. I guess can you help us to understand what the current kind of EBITDA run rate is for that business? And where do you think it could go? Like what's the maximum level just based on your capacity your flexibility around your manufacturing process that how big could that number get if LNG materializes the way some bulls in the energy market are actually thinking it will? 
Seifi Ghasemi: John, Dr. Serhan in his comments mentioned that we are seeing a lot of inquiries about our LNG business. What I can tell you is that, historically the peak performance of that business was approximately $200 million a year of contribution in EBITDA. Today it is -- I don't want to quote the exact number, but it is obviously not there. So, and it is a lot lower than that. So, we expect that business to do better. We -- but it is in the context of the $4 billion of or $4.5 billion of Air Products EBITDA it's not going to double our EBITDA, but it is a good business. It is an excellent business and it could significantly increase its EBITDA contribution as we go forward. And we are looking forward to that. There is as you said there is a lot of interest and we are in a very, very good position. We have a very good management team there. And we have very good solar technology which is sought after by everybody.  Something like I think 85% of all of the major LNG facilities around the world use our technology. So that's all. On a day-to-day basis Dr. Serhan runs that business. Samir, if you want to make any additional comments? 
Samir Serhan: I think Seifi you've covered it. I mean solid projects, we are executing now with 60 projects. I mean in our manufacturing facility again a significant amount of opportunities now we're developing with our customers. Again, the high natural gas pricing is driving this. The energy challenges in Europe is, also driving this again we have added last year 60% capacity to our manufacturing in Florida, court manager  product. So we are very well positioned to really capture that business and build up on the momentum. 
John McNulty: Got it. And thanks for the color. Appreciate it. And then Seifi you have a really big project backlog at this point. There's been a lot of inflationary pressures whether it's labor or different commodities and some are starting to come off some are continuing to push higher. Can you help us to understand the inflationary impact on the capital that you're putting to work on the projects in the backlog and how we should be thinking about that? 
Seifi Ghasemi: So John, there is obviously no question that there is inflation and that inflation will impact the capital cost of some of the projects that we are doing. The point that we are making is that with a significant amount of the capital that we are putting in the ground. We have not committed to the price of product out of those facilities, especially, our blue hydrogen and green hydrogen projects. Therefore, in case inflation drives up the capital that automatically means that product out of those plants will be more expensive than we sell it. And therefore it -- so I'm not worried about losing the margins that we expected on those projects which is most of our investments. Then there is a significant amount of our projects are almost at the end. I mean, Jazan Phase 2 is fixed price because we are purchasing something we are not building. That is a significant amount of money that we are going to deploy and then projects like Gulf Coast Ammonia and some of the other projects are almost done. So what we are left is we have quoted a number publicly I think that approximately $3 billion of our projects are projects that we already have a fixed price contract with our customers. So if you take that $3 billion and you say that well inflation is going to cost you 10%. Yes, we might have to spend $300 million more on those projects and going by the rule of tonne that would be an effect on our bottom-line of about $30 million in terms of operating income. So that can happen. Obviously, the team at Air Products is very, very focused to minimize the effect of inflation. And also to go back to some of those customers and try to increase the price to get any compensation for that but that is order of magnitude the extent of our exposure John. 
John McNulty: Got it. Thanks very much for the color, Seifi. Appreciate it.
Seifi Ghasemi: Sure.
Operator: As there are no further questions in the queue, I would like to turn the call back to Seifi for any additional or closing remarks. 
Seifi Ghasemi: Well,thank you very much. I would like to thank everyone of you for listening to our presentation. And also thank you very much for your good questions. I would like to once again thank Simon for his outstanding contribution. And wish him well. He is obviously going to be with us for a few more calls as we go forward. And we look forward to talking to you sometime at the end of October or early November when we announce our results. And in the meantime have a safe, healthy and enjoyable summer. Thank you. 
Operator: Thank you. That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.